Operator: Good morning, and welcome to the Central Puerto Conference Call following the results announcement for the quarter ended on March 31, 2020. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. If you do not have a copy of the press release, please refer to the Investor Support section on the company's corporate Web site at www.centralpuerto.com. A replay of today's call will be accessed by accessing the webcast of the Investor Support section of the Central Puerto corporate Web site. Before we proceed, please note that certain statements may be made by the company during this conference call are forward-looking statements, and we refer you to the forward-looking statements section of our earnings release and recent filings with the SEC. Central Puerto assumes no obligation to update forward-looking statements, except as required under applicable security laws. In addition, all financial figures were prepared in accordance with IFRS, and are stated in the Argentinean pesos, unless otherwise noted. For following the discussion better, please download the webcast presentation available on the company's Web site. Please be aware that some of the numbers mentioned during the call may be rounded in order to simplify the discussion. On the call today from Central Puerto is Jorge Rauber, Chief Executive Officer; Fernando Bonnet, Chief Financial Officer; Milagros Grande, Financial Manager; and Tomas Daghlian, Investor Relations Officer. And now, I will turn the call over to Jorge Rauber. Mr. Rauber, you may begin.
Jorge Rauber: Thank you, and good morning. I would like to begin today's call analyzing the developments of the first quarter. After that, I will comment on the advances of our expansion projects and analyze the operative figures of the quarter. Finally, Fernando will analyze the financial results, and comment on the recent news on the company. As you know, the COVID-19 crisis has affected almost all the world, including Argentina. As a consequence, the federal and local government have issued mitigation measures in order to slowdown the spread of the virus. Among them, on March 20, 2020, the federal government released a stay-at-home order or quarantine as you can see on page three. However, the electricity generation activity was considered an essential service, and thus, exempt from the restrictions. In order to protect our essential workers, we have implanted strict health and safety protocols for them, while the rest of our personnel is doing home office. The quarantine did not have significant consequences during the first quarter, but it is expected to have a deeper impact during the second quarter. For example, as a consequence of the effects of the quarantine on economic activity, electricity energy demand decreased 11.5% during April, and 10% during the first three weeks of May, compared to the same period of 2019 according to data from CAMMESA. However, it's worth noting that the decrease has a less than proportional impact in the income of the generation companies. In the case of renewal energy units, they are unaffected since they have dispatch priority, and they do not lose energy generation. In the case of thermal units, they have a high proportion of their income associated to fix power remuneration, which is not related to the energy generation of the units. Additionally when demand decreases, the unit then stop generating electricity first tend to be the older inefficient ones. These units receive a lower remuneration under [Energía Base] [Ph] framework, as compared to the new efficient ones they have a higher remuneration contracts also known as Power Purchase Agreement, or PPAs. As a consequence of the decrease of economic activity due to pandemic, on April 8, 2020, the Secretariat of Energy instructed CAMMESA to postpone until further notice the application of price update mechanism established by Resolution 31 for [indiscernible] unit, that is spot sales. However, it's worth noting that during the first quarter 2020 around 50% of our EBITDA came from unit that have contract and not from the spot sales units. Furthermore, for the full 2020 year, we expect that 70% of our business will come from units that have their contract set in U.S. dollars due to the new capacity coming online during this year. Finally, the COVID-19 crisis had an impact on our projects and the construction like in La Genoveva I and Terminal 6 as you can see on page four. Initially the construction of private sector energy infrastructure was not included as an exemption to the quarantine, but was included on April 7, 2020. Consequently, after taking all necessary precautions and implementing corresponding protocols to protect the personnel and the community, where the projects are developed. The construction in La Genoveva I wind farm and Terminal 6 and Lorenzo thermal plant was resumed on April 9 and April 27 respectively. Additionally, in the case of La Genoveva I on February 21, 2020, Vestas the supplier of the wind tribune of La Genoveva I project notified the company that the COVID-19 outbreak affected its manufacturing activities worldwide causing delays on the supply chain for the delivery of certain Chinese origin manufacturing components required for the completion of the wind turbines. This communication Vestas did not specify the impact that this equation may have on the agreed schedule. Furthermore, logistic restriction imposed by the federal and local governments may also slow down the construction. In the case of the Terminal 6 project, the construction was restarted after one month, with one-third of the personnel that was working prior to the quarantine due to the health and safety protocols agreed with the health authorities. Additionally, the project may also be affected by travel restrictions for international specialists that participate in the construction. Due to the restriction, the CODs of La Genoveva I and Terminal 6 and Lorenzo are expected to be delayed and depend on the evolution of the situation in the region in both projects are located and the measures implemented by the government. On the other hand, as you can see on page five, during the first quarter 2020, we reached a commercial operation date for Los Olivos wind farm, adding 23 megawatts and increase the installed capacity of the wind farms Manque and the La Genoveva II, which now have 57 and 15 megawatts prospectively. Projects, together with La Genoveva II wind farm have already signed long-term contracts with prices set in U.S. dollars directly with private customers for 100% of their capacity. Finally, I would like to give you an update on recent development for the second quarter. In April 2020, the [Siemens] [Ph] branded combined cycle of Luján de Cuyo plant became unavailable due to significant failure in its main transformer. The normal lead time for a complete replacement of the equipment is around 12 months. However, the company is evaluating alternatives to return the unit service sooner. Although, these may reduce the energy generation from this unit, during the time the equipment remains unavailable, the company has a comprehensive operational risk and loss of profit insurance that covers the breakdown costs and the consequential loss profits. Going out to our key performance indicators of the quarter as you can see on page six; energy generation during the first quarter was 3.9 terawatt hours of electricity, 10% higher than the same period of 2018. As a reference, energy demand during the period increased 4.2%, and domestic energy generation increased 7.4%. Increase in energy generation was first due to 88% increase from renewable sources, mainly due to the positive impact of La Castellana II, La Genoveva II, Manque, and Los Olivos wind farms. Second, hydro generation from Piedra del Águila increased 10% due to higher available water flows. Finally, generation from our thermal units increased 5% mainly due to the positive impact of the purchase of the Brigadier López plant and the new Luján de Cuyo cogeneration unit, and to a lesser extent, to an increase in energy generation on some of the steam turbines of the Puerto complex due to higher temperatures during the summer. Regarding our thermal units, as you can see on the graphic on right in the same page, we continue to show an excellent track in terms of availability, reaching 93%, three percentage points higher than the same quarter of 2018. This figure is 10 percentage points above the average availability of thermal units for the total market, showing Central Puerto's competitive advantage. And now, I will turn the call over to Fernando, who will comment on the financial highlights.
Fernando Bonnet: Thank you, Jorge. Before starting, it's worth noting that the financial statement for the quarter ended on March 31, 2018 include the effects of the inflation adjustments. Accordingly, the financial figures that I will mention, including the data from previous periods and the growth comparison has been stated in terms of Argentine pesos at the end of the reporting periods. I will further refer to the results of the first quarter 2020, as compared to the first quarter of 2019. As you can see on page seven, our revenues were ARS 8 billion in the quarter, a 13% decrease compared to ARS 9.3 billion during the first quarter of 2018. This decrease was driven by the discontinuation of fuel purchase operations that we did during 2019, due to new regulations that centralized in CAMMESA, the fuel purchase for all generators. These effects represent ARS 3.5 billion variation as you can see on page seven. Excluding this effect, revenues for the first quarter of 2020 will have increased approximately 40%. This increase was mainly driven by an increase in sales under contracts, which amounts to ARS 3.4 billion during the first quarter 2020 as compared to ARS 768 million in the first quarter of 2019, mainly due to the revenues related to the Brigadier López power plant, which was acquired in June 2019. The new Lujan de Cuyo cogeneration unit, which has started operation in October 2019, and the wind farms, La Castellana II, La Genoveva II, Manque, and Los Olivos , which started operation on June, September, December 2019 and February 2020 respectively. A 10% increase in energy generation as Jorge mentioned before, and a 3% increase in availability of thermal units under Energía Base framework. This increase was partially offset by a decrease in price for units under Energía Base the framework established by Resolution 31 in February 01, 2020. Moving to page eight, we can see the changes in our EBITDA, which reflects the increase in our gross profit, which in the quarter rise to 22%, as compared to the same period of 2019. This was due to evaluation in revenues mentioned before, and was partially improved by 39% decrease in our cost of sales that totaled ARS 3.3 billion, compared to ARS 5.4 billion in the same period of 2019. The decrease in the cost of sale was primarily driven by an 81% decrease in the purchase of fuel and related concepts due to their discontinuation of this operation in the quarter according to the new regulations. This was partially offset by 29 increase in non-fuel related cost of production, mainly due to an increase in our installed capacity, following the acquisition of Brigadier López power plant and COD of the thermal and renewable energy projects. Gross profit margin totaled 59% during the first quarter of 2020, as compared to 41% in the first quarter of 2019. This change was mainly a consequence of an operation for chase of self-supplied fuel, which was enforced during the first quarter 2019, but not during the first quarter of 2020. Finally, other operating results net decreased ARS 1.9 billion in the quarter, mainly due to an impairment in a property, plant, and equipment, which amounted to ARS 774 million in the quarter due evaluation at fair value of two Siemens branded gas turbines installed in the suppliers facilities, which were evaluated using the fair value less cost of sales approach. And a ARS 2.4 billion gain during the first quarter 2020 from the foreign exchange difference and operating assets, mainly due to a FONI trade receivables, compared to ARS 3.9 billion during the first quarter of 2019, mainly due to an 8% depreciation of Argentine pesos during the first quarter of 2020, compared to the 15% depreciation during the same period in the previous year, and a lower average balance of the trade receivables maintained during the quarter. As a consequence of these variations, the adjusted EBITDA was around ARS 7.6 billion in the first quarter of 2020, 7% lower than ARS 8.2 billion in the same period of 2019. However, adjusted EBITDA excluding the foreign exchange difference and interest on FONI trade receivables and the impairment on property, plant, and equipment was ARS 5.8 billion in the first quarter of 2020, 53% higher than ARS 3.8 billion during the same period of 2019 showing the solid result of the new plant. Going to page nine, the consolidated net income was ARS 1 billion compared to ARS 1.8 billion in the same period of 2019. In addition, due to the factors mentioned before, the net income was mainly affected by higher financial expenses which increased ARS 2.2 billion due to the loss obtained from the thermal or renewal energy expansion projects and the decision of Brigadier López power plant and a lower financial income due to interest rates during the quarter and lower foreign exchange difference over U.S. dollar denominated financial assets which excludes FONI and other trade receivables. These effects were partially compensated by a favorable net monetary position during the first quarter of 2020 resulting in a gain in real terms while the situation was the opposite during the first quarter of 2019. Going to page 10, you can see the cash flow for the first quarter of 2020. Net cash provided by operating activities was ARS 3.5 billion. This includes ARS 1.5 billion in collection from FONI and CVO installments which is not containing EBITDA. The cash flow from operations was partially offset by ARS 1.2 billion CapEx invested in the expansion projects and ARS 1.5 billion used to servicing debt. Thank you. Now we invite to ask any questions to our team.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question today comes from Ezequiel Fernández. Please go ahead.
Ezequiel Fernández: Good morning. Yes, this is Ezequiel Fernández from Balanz Capital. Thanks for the materials. I have three initial questions. I would like to go one by one if you don't mind. First on the Luján de Cuyo stoppage, can you please tell us a bit more about what happened, and if the transformer failure led to damages in other more critical equipments? Also, what is the CapEx that you expect to spend to fix this, and what are the processes and timeframes involving collecting from the insurance company?
Fernando Bonnet: Okay, let me go and address this question, and first, thank you for the question. What happened is that transformer is that caught fire. The root cause analysis has not been performed yet. So, we don't know exactly what happened with the unit, but will be analyzed and assessed by the [specialists] [Ph] to determine what exactly was the origin of that failure. In the 12 months, we have to go -- firstly purchase a completely new transformer. Our first evaluation is that the unit has been severely damaged. In fact what happened is that complete destruction of the central column of the transformer. That means that the transformer should be completely re-wind anyway. It will take 12 months if we have to replace it for the new one, but we are analyzing with some of the firms involved in the replacement of transformer the possibility of repairing it instead of completely discard it and go to purchase a new one. The total CapEx involved in this operation if we have to go for a new transformer will be ARS 3.5 million more or less, and if we have the opportunity to repair instead could be around ARS 1 million or something like this. Each month of out-of-service of the unit means ARS 3.5 million more or less. We had a [indiscernible] insurance purposes, we had a period of time, this insurance covers half this amount, two years, and in the case of the cost of replacing, it will be ARS 0.50 million. So, we're working today basically with -- I mean, [a new one spare confirmed that we had in third] [Ph] quarter, which is initially supposed to function as a spare part for the common site that we had in the third quarter relocating many sites. So, it's not exactly the same transformer that we have. We're analyzing the possibility of modifying something, somehow, I mean the equipment in the Luján de Cuyo power plant in order to connect this spare transformer and operate with that one. In the case of [indiscernible] in the out-of-service period [indiscernible].
Ezequiel Fernández: Okay, great. And just to be clear, do you expect the full 300 megawatts to be out-of-service, or is it only a partial…
Fernando Bonnet: No, it's a complete outage, because what happened is the unit which has been damaged is the transformer corresponding to the gas turbine. So, it's the main transformer of the unit. That means that the complete unit is out-of-service, the common center.
Ezequiel Fernández: Okay. That's very clear, great, and my second question is related to Lorenzo and La Genoveva, if you could tell us what was the work advance ideally in percentage of completion that you had until the moment?
Jorge Rauber: I will answer regarding Lorenzo, and perhaps Fernando could add something regarding the Genoveva I. In the case of Lorenzo, the percent of -- I mean [indiscernible] has happened in all the constructions involved in terms of infrastructure, due to the quarantine the work though was stopped at -- when the quarantine was [put] [Ph] by the government. The work has been -- resume at the end of April, as we mentioned, when we described the current situation, but of course, it's advancing subject to a new and quite strict protocol in terms of safety. This means that the works it's going ahead at a very slow pace compared with the work we have before the quarantine. We expect, perhaps -- it's very difficult to forecast the exact timetable for the trade today, even the situation is changing every day, but we expect at least -- I mean more than three months, perhaps the first quarter next year as the time of completion of the project, given how fast we are advancing today.
Ezequiel Fernández: Okay.
Jorge Rauber: Fernando, can you -- I'm sorry. [Indiscernible] if you have another question regarding Lorenzo specifically?
Ezequiel Fernández: No, no, no. That's perfect. Thank you very much. We can move to La Genoveva.
Jorge Rauber: Okay.
Fernando Bonnet: Okay, thank you for the question. In the case of La Genoveva, it's simpler, of course [indiscernible] Terminal 6, which is a bigger one, but as Jorge mentioned, we had started the construction in late-April. So right now we're in the phase of [indiscernible]. We are now being in -- not at the same pace as we did before the quarantine, because as you know, the [indiscernible] government and -- the provincial government and local governments are taking a very, very strict, especially in the place of -- in the region of Santa Fe and by Atlanta region, in Atlanta region in another green firm that are under construction. There appear three cases of coronavirus, so the authorities are very, very strict right now there, but instead of allowing the construction are getting more strict in terms of crowding the people in the town. So, it's not easy, but we're still working on the construction. We're mounting the generators. We have been mounting I think between three or four of the total 21 that we have in this near-term. So, we expect that we can continue doing that without in case of coronavirus and without any restriction for the local authorities additionally, and we are suffering now. We can finish around the third quarter this year because of [indiscernible] at the end of the third quarter.
Ezequiel Fernández: Okay, perfect. Thank you very much. And my third question is related to on the financial side, how are your conversations with banks going regarding revolving some of your loans, and specifically the larger syndicated loan of around ARS 180 million?
Fernando Bonnet: Okay. In terms of short-term debt, we're not facing any problem. We have all our lines with banks available. In fact we don't have a lot of debt in the short-term. In the case of the big loan, that you're mentioning, the [indiscernible] of the Brigadier López differs, and the decision, so the capital are saved for December this year. So, at this time, we are talking to them. Of course we need to wait because as Jorge mentioned, right now we're not suffering an external problems with the quarantine because of our income are coming normally. Of course we received some reduction for the production, but as you know, our income is mainly driven by the availability of our OEM. So, we're analyzing opportunities to renegotiate that loan, but it's not an option for us and for banks right now. Of course we're talking with the banks, but we're not in a position that we need to change, renegotiate that because we don't have the cash [indiscernible]. So, we are talking to them, but we are analyzing the future of our income and flow, and right now it's not the option.
Ezequiel Fernández: That's very clear. Thank you.
Operator: And our next question comes from Frank McGann with Bank of America. Please go ahead.
Frank McGann: Yes, thank you very much. You mentioned the potential for weaker demand in the release related to COVID-19 in the market in Argentina, and I was just wondering what effects this could potentially have on your business in terms of overall dispatch and such, and what -- you know, basically just how you're seeing the next couple of quarters in terms of effects coming from COVID-19?
Jorge Rauber: Frank, thank you for your question. It's a different situation if you compare Argentina with other more industrialized countries. In Argentina, specifically the demand has decreased 11.5%. So, it's not such a huge reduction in terms of demand. Perhaps the most important effect because of the coronavirus is mostly related with the collection and that [indiscernible] with demand. So, we don't see -- I mean perhaps somehow would affect when we start because of that situation, but we don't see a dramatic reduction in terms of production. Our combined cycle in Puerto for sure will be in dispatch. Probably our income is out of this, because of this impact, but perhaps there are other factors, the fact that our transformer in Mendosa is out-of-service, that kind of things are more important in terms of projecting our results for this year than the coronavirus. Perhaps the most important thing regarding this situation is the target in the construction and collections. They don't have to lead -- has to intervene in the market in order to get more money, increase subsidy times, the subsidy they were planning to the market in order to keep all the collection change active, and maintain all the system operating. So, it's more related to the collection than with a demand or generation, and in fact, all the renewable projects have priority dispatch, so they're not going to be affected or compensate, which is quite efficient, and such, our generation investment is operating, and perhaps our reduction with the older turbines. In terms of renovation, as just mentioned in our statement, it's not so much affected because more part of the renovation has been on capacity, not so much on production. So, we don't see a direct impact in terms of production or renovation, but more related with collection perhaps in higher subsidy needed from the government could keep collection operating inactive.
Frank McGann: Okay, thank you. And have you seen an increase in the time it takes for you to get compensated by CAMMESA?
Jorge Rauber: Not so much. In fact, the last month they had reviews at the time, I mean at the beginning of the quarantine, it was an impact, it was a delay, but now the government is sort of going back on track. So not so much affected, because of these, decline was before that I mean. The delay in collection was mostly related with the change in government in December than because of the quarantine. During the quarantine, it was maintained at the same payments that we paid before.
Frank McGann: Okay. Thank you very much.
Jorge Rauber: You're welcome.
Operator: Your next question comes from Antonella Rapuano with Santander. Please go ahead.
Antonella Rapuano: Hi. Thank you for the presentation and for taking my question. I would like to make two questions if I may. The first one is regarding the FONINVEMEM program, and specifically on the thermal plants, Belgrano and San Martín. I was wondering if you could give us some updates on the transfers of the assets to address where you have a material interest, and when do you expect to start registering these equity income in your financial statements, and also, if you have any remaining payments for the FONINVEMEM from Belgrano and San Martín for the remaining of the year, or these payments have already been sold -- the receivable payments I am referring to?
Jorge Rauber: Okay. Fernando, can you answer this question?
Fernando Bonnet: Yes. Thank you, Antonella. In terms of receivables, we already collected [indiscernible] from San Martín and Belgrano power plants. So, this is completely fed on time. And in terms of transfer of the assets, we are [indiscernible] all the materials that Siemens requires in terms of the government in the operating company that was established in the agreement, in the regional agreement. So, we perform in the shareholder's meeting for the two companies in order to meet the opportunity to government rental. We did it in the terms that the government asks in terms of participation. As you know, we have some discussions about that. We think that the participation of the government needs to be reviewed in terms of how much they contribute to the construction of the power plant that in order to not lose the opportunity to repeat the power plants in the operating companies. We agree to allow them to enter in the proportion that they want, reserving our rights to reclaim the difference in further moments for their actions. So, we did that, and we comply with the application, and the government and [indiscernible] the power plants in the trustee, and are analyzing all the acquisitions and requiring some additional information, and I think they are doing all the analysis in order to transfer the assets to the company. We don't know when this will happen, but we think that need to be in the next month.
Antonella Rapuano: Right, thank you.
Fernando Bonnet: So, whenever it happens, we're going to recognize the income in our balance sheet.
Antonella Rapuano: Right, and could you -- just a follow-up, could you give us some measure of the magnitude of this income from Belgrano and San Martín?
Fernando Bonnet: Well, we need to perform evaluation, it's very difficult because we need to finish this issue with the participation and after that we need to perform evaluation to - for sure to incorporate these assets in our balance sheet. I don't know -- right now I don't have evaluation, but you can do it thinking that these power plants receive some renovation to combine cycle right now in the Resolution 31. So, more or less these will be income that these power plants will receive from now on.
Antonella Rapuano: Sure, right. And my other question is regarding the PPA contract capacity. If you see any risk of changes in prices maybe translated to pesos in the case of a sharp depreciation of the local currency?
Fernando Bonnet: I mean, regarding the PPA?
Antonella Rapuano: Yes.
Fernando Bonnet: No, we don't see [indiscernible] the price some rumors regarding this, but we don't see actually a risk to have a specification related to the PPA.
Antonella Rapuano: Okay. Well, thank you. That's very clear.
Operator: And our next question is a follow-up from Ezequiel Fernández with Balanz Capital. Please go ahead.
Ezequiel Fernández: Yes. Hi again. Sorry, and two very quick follow-ups, the first one is, are you having access to the official FX markets for that repayment and imports without issues, and if you could tell us please about -- what was the size of the Central Puerto receivable outstanding at the end of March 2020?
Jorge Rauber: Okay. The first one, yes, we are not facing any problem to walk through the FX market to pay imports, or to pay debt. That's a big thing that in the face of their renewable projects, and in the case of importation for Terminal 6, and the renewable project we are not facing any kind of problem in kind of lag, or question regarding to the Central we are doing normally, of course we need to respect the times and the norms and regulations, but not more than that. And in terms of the amount of their CVO receivables outstanding at March, the number is ARS 440 million, which is normal that is expected in the collections during the last year and this year we collect the normal amounts and the ruler amount that need to be outstanding at that time.
Ezequiel Fernández: Thank you. That was very clear. That's all from my side.
Operator: Okay. And our next question comes from Roberta [indiscernible] with Morgan Stanley. Please go ahead. Roberta [indiscernible], your line is open.
Unidentified Analyst: I'm sorry. I was on mute. Hi guys, thanks for taking my question. Can you give me any color on how -- what percentage do you expect the overall demand will be on the second quarter and the following this year? How did you see the liquidity of the company by the end of the year? Do you expect any -- to have any extra [indiscernible] or something like that? Thank you.
Fernando Bonnet: I'm sorry, the first part of your question?
Unidentified Analyst: Sorry, I couldn't understand.
Jorge Rauber: So I think he asked about how the demand is going to go in the second quarter and third quarter, I think that was your question, correct?
Unidentified Analyst: Yes.
Fernando Bonnet: Well, more or less what I mentioned, I mean the first quarter was unaffected in fact the quarantine was put by the government at the end of March is currently to be more precise, and before that we have an increase of almost 18% in terms of demand until that date, and after that we had a reduction. In the second quarter, what we expect is more or less 11% decrease of demand compared with the same demand for last quarter. So, this is the whole impact we expect, and what we are seeing today. The government now is kind of relaxing the quarantine, so what we expect for the coming month unlike we have back in terms of quarantine because of increase of cases of the virus of the disease, unless we have that kind of situation was have to expect an increase in demand and going back to normality to say so. So, the gross case would be 10% or 11%.
Unidentified Analyst: Okay.
Fernando Bonnet: And I don't remember the second part of the question.
Unidentified Analyst: Yes. How would you say the liquidity of the company in the remaining of the year, do you expect to have any more CapEx needs or will require to have some -- the company to enter into new [indiscernible] or anything like that?
Fernando Bonnet: Okay. Right now, we have sufficient liquidity to make the CapEx that will remain for the project, Terminal 6, and the renewables one, La Genoveva, and for that, we are not thinking -- we acquired some additional debt, long-term debt, for sure right now, because we are thinking in terms of liability management, we are seeing some opportunities in the local markets, not for big amounts, but we are seeing some opportunities in local markets. [Indiscernible] that can give us some opportunities to acquire some additional debt at lower interest rates, which is perhaps some seeing that we kind of do in terms of liability management, but we are not thinking -- we don't need to do for sure in terms of to close the CapEx that we are doing right now. We have the liquidity, as Jorge mentioned, impacting it, so the values in our cash flow is not so relevant right now. The income is more or less stable. So, we have some income and flow to cover all the CapEx that we still are performing for Terminal 6 and Genoveva I. So, in case of Genoveva I we have the loan from [AFC] [Ph], reminding now that a big portion of this loan is reminding that work and with cash and we can apply. Of course, we are going to apply to CapEx. So, we are not thinking in a huge additional debt. We can do some, as I mentioned on the liability management, taking an advantage of -- regarding this in local terms available, especially for projects, but this is going to slow [indiscernible] and so forth. We are not planning to do an international mission or important mission in the next month. We're going to see -- as I mentioned, we're going to see on December for the payment of the of the syndicate loan, which are more or less ARS 36 million. We can do some liability management there, but not for CapEx.
Unidentified Analyst: Great, thank you very much.
Fernando Bonnet: You are welcome.
Operator: And this concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Rauber for any closing remarks.
Jorge Rauber: Okay. Thank you to everyone for your interest in Central Puerto. We encourage you to call us at anytime for any information that you may need. Thank you, and have a good day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.